Operator: Greetings. Welcome to the Huntsman Corporation's Fourth Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note that this conference is being recorded. At this time, I'll now turn the conference over to Ivan Marcuse, Vice President of Investor Relations and Corporate Development. Mr. Marcuse, you may now begin.
Ivan Marcuse : Thank you, Rob, and good morning, everyone. Welcome to Huntsman's fourth quarter 2023 earnings call. Joining us on the call today are Peter Huntsman, Chairman and CEO and President; and Phil Lister, Executive Vice President and CFO. Yesterday, on February 21, 2024. After the U.S. equity markets closed, we released our earnings for the fourth quarter of 2023 via press release and posted to our website, huntsman.com. We also posted a set of slides and detailed commentary discussing the fourth quarter of 2023 on our website. Peter Huntsman will provide some opening comments shortly, and we will then move into the question-and-answer session for the remainder of the call. During this call, let me remind you that we may make statements about our projections and expectations for the future. All such statements are forward-looking statements involve they reflect our current expectations they involve risks and uncertainties and are not guarantees of future performance. You should review our filings with the SEC filings for more information regarding the factors that could cause actual results to differ materially from these projected and expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter.  We will also refer to non-GAAP financial measures, such as adjusted EBITDA, adjusted net income or loss and free cash flow. You can find reconciliations to the most directly comparable GAAP financial measures in our earnings release, which has been posted to our website, huntsman.com. I'll now turn the call over to Peter Huntsman, our Chairman, CEO and President.
Peter Huntsman : Ivan, thank you very much. Thank you for joining us this morning. Last evening, we released our prepared remarks for the fourth quarter 2023 results. Before opening the call to questions, I'd like to take a few minutes and share with you our latest plans and views as we enter the second half of the first quarter. At the outset, I remind you that we have complete financial results for the month of January, but still have two more months until we know the full results of the first quarter. I'm also still a bit haunted by the ghost of a year ago when many of you and most companies were projecting 2023 to have a weak beginning but a very strong second half, second half proved to be nothing short of a disaster. Let me begin by sharing with you our five main goals for this year. First, we will be -- this will be a year wherein we will recover some lost sales from 2023. A year ago, we showed strong pricing discipline early in the year and in many cases, we held the line and kept pricing from falling faster than they otherwise would have. In some cases, we lost business competition who are pushing volume over value. Going forward, we will be pushing much needed price increases in most of our product ranges, but we will also be negotiating to get back some of that lost volume.  Our second priority would be to improve our free cash flow generation. This will be at the top of our incentive pay targets for 2024. We will do this through a continued focus on working capital controlling both indirect and direct costs and moving more volume and higher prices. Our third priority is to maintain discipline in our cost structure. We will complete our previously announced cost reduction programs in each of our divisions and our corporate functions. We will also be focused on offsetting projected 3% to 4% inflation increases.  Our fourth priority will be to continue as we have for the past several years, assessing our portfolio on an ongoing basis to ensure that we are the best owners for the businesses and assets that we have. We will continue to look for M&A opportunities to expand our more differentiated downstream businesses.  Lastly and most importantly, we will invest to continue improving our environmental and safety stewardship and our operating reliability. This focus on managed risk will also apply to our investment-grade balance sheet.  Our Board of Directors remains committed to returning cash and value to our shareholders. To this end, we will be raising our dividend by 5% to share to $0.25 a quarter. While we do not plan to buy back any shares in the first quarter, we look forward to restarting our buyback program as soon as market conditions warrant. As I said at the beginning, it is still too early in the quarter to make bold predictions. However, the order patterns that I'm seeing in most areas of the world tells me that in most of our divisions, we have seen the end of a very long period of inventory drawdowns and prices and volumes look to be gradually improving.  With the restarting of China's economy post New Year celebrations, I feel more optimistic than I did at year-end and see more proverbial green shoes than I have over the past 12 to 18 months. We have a lot of recovery before us, but I believe we're taking the right steps in the right direction. Thank you very much. And with that, operator, why don't we open the line up for any questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Mike Sison with Wells Fargo. Please proceed with your question.
Mike Sison : Hey, good morning. Peter, volumes in polyurethane seem to have stabilized a bit in the fourth quarter. How do you think volumes sort of unfold in the first quarter? Or are you -- you had sort of mentioned that order patterns look a little bit better. And then when do you think we can see an inflection point for growth in '24?
Peter Huntsman : Well, I think that, again, you're going to continue to see a gradual improvement throughout the first quarter, both in pricing and in volume. When I look at it on a prior year basis, I would imagine we'll probably be seeing an improvement in the first quarter, again, just looking at order patterns today and so forth. Probably around mid-single digit sort of growth. And that's going to be pretty much across the board.  We're looking for growth to take place as we've seen the cessation of deinventoring in North America around housing and construction. And in China, we continue to see a bit of a rebound in construction, but mostly in automotive and mostly as we look at infrastructure projects. And in Europe, well, I think we'll just see a continued gradual recovery across the board in Europe.
Mike Sison : Got it. And then if volumes do recover, what do you think needs to happen to shore up sort of either pricing or profitability and maybe give us a thought on what the Polyurethane segment should be able to do longer term in terms of sort of margins and earnings power?
Peter Huntsman : Well, I think MDI, I've not seen anything structurally that has changed in MDI. This is a mid- to upper teen sort of business during its normalized basis. And when you see MDI capacity utilization, usually somewhere in the mid- to upper 80s, particularly the upper 80s, pushing 90% you're going to see pricing power. I think the industry today globally is somewhere in the low 80% capacity utilization with a little bit of an improvement over what we've seen in previous quarters. I remind you that the last quarter, we were talking about global operating rates being probably in the mid [indiscernible] so we are seeing a bit of an uptake there. And -- but we need to see sustainability. Again, last year, at this time, we were talking about a stronger second half of the year and so forth. And I think that what's going to be important this time or this year is that we just see a long steady recovery in volume and allowing us to recover the pricing as well. And I would say that across the board in virtually all of our products, not just MDI.
Operator: Thank you. Our next question is from the line of Josh Sector with UBS. Mr. Sector, please proceed with your question.
James Cannon: Hey, guys. This is James Cannon on for Josh. Thanks for taking the question. Just looking at -- you called out volumes down against a weaker year-over-year comp. I was wondering, is there any impact from the ongoing BLR rationalization? Or is that pretty much done at this point?
Peter Huntsman : No, I don't think that we've seen any impact from BLR rationalization. I mean, in our case, we're seeing a little bit of fluctuation in order patterns on aerospace and so forth. But I wouldn't say that any of those are really material trends. A lot of that's just going to be timing on year-end inventory and as you look at something like aerospace or and automotive, how many parts are in the OEM supply chain or car companies shifting from EVs to hybrids to ICE. And yeah, that will cause some disruption on a quarterly basis. But I don't see anything in advanced materials that would give me any concern about order patterns or sales.
Phil Lister : If you think about it, less than 10% of our Advanced Materials portfolio now is BLR. We've deselected an awful lot over the years focused on the higher margin businesses, and that generates less than 5% of the profit. It's not our focus from a portfolio perspective.
James Cannon: Okay. Thanks. And then just on the aerospace, there was an incident earlier in the quarter that led to the FAA limiting production at the major aircraft manufacturer. Is there any impact on the first quarter guide from that?
Peter Huntsman : No, no. And I would just remind you go throughout saying we didn't have anything to do. I mean our products and so for that had nothing to do with that manufacturing problem going at. So no, I don't -- as we look at it overall, we don't see any impact in the first quarter because of that.
Phil Lister : Yeah. And if you think about it, our exposure is in general into wide-body aircraft into the relevant aircraft, it’s less than 5%. So it’s again, for any recovery that we have, it’s all focused on the wide-body material that we sell into that end market.
Operator: Our next question is from the line of John Roberts with Mizuho. Please proceed with your question.
John Roberts : Thank you. You decided that you're going to restart your smaller Geismar unit. Maybe it didn't sound like that was maybe quite justified yet. Maybe that should come a little bit later, but maybe you can talk about where you think that volume is going to go.
Peter Huntsman : Yeah. That's 100 -- I'd remind you, it's 130,000 tons of volume, roughly 250 million pounds. And so we're looking at that sort of volume being a relatively small percent increase in the overall scheme of things.  I would just say, too, that as we look at restarting that, it does take you time to restart an asset like this probably could take as long as throughout the entire quarter going into the second quarter. Second quarter is usually a pretty strong demand for OSB, CWP, insulation, our building materials. And just because we're operating in that line, it doesn't mean that we're going to put all 130,000 tons into the market on day one. That will gradually be fed into the market as a market needs and so forth. But we looking at today's order patterns, what we're hearing from our customers and so forth, we feel that we need to start that asset up.
Phil Lister : John, we been operating globally at between 75% to 80%, the markets in the low-80s. So that should give you some indication that we're simply moving up to the market levels.
John Roberts : Thank you. And then is the Boeing situation affecting our epoxy supply chain at all?
Peter Huntsman : No, we're not seeing any issues today on that. What noise, I would remind you that we're supplying our customers then supply Boeing or in some cases, our customers supply an OEM that supplies Boeing. And what impact that may have if Boeing were to slow down production and so forth. We may not feel it for a quarter or two. But no, I don’t see any reason today. We’re certainly not seeing anything that would impact that.
Operator: Our next question is from the line of David Begleiter with Deutsche Bank. Please proceed with your question.
David Begleiter : Good morning. Peter, just on MDI, what would it take to return to mid-cycle operating rates in MDI? And is there a path forward to a peak later in this decade?
Peter Huntsman : I think that as we look at -- we kind of look at the three regions. I think that as we look at the U.S. housing market, I think that a recovery in housing to be at that 1.5 to 1.7 kind of where we were just a few years ago, which I think is still well below the 2 million level that people are saying is kind of a sustainable rate.  If we look at housing, that recovery of housing. And I think, again, it's -- what was really painful over the last year and half was the deinventory that took place. It wasn't necessarily a housing drop to 900,000 units or something like we saw during the Great Recession. It was a massive amount of deinventory that took place and how much inventory within the system when that the inventory started. So I think in North America, it's going to be a lot around housing. I think that as we look at Europe, it's going to be -- excuse me, as we look to Asia, it's going to be around continued pull that in automotive, for us, both ICE and particularly EV have been very strong end markets for us in urethanes in China. China continues to improve as we have pointed out in the last couple of quarters that it would. But we're certainly not seeing from an overall macro point of view. The 5%, 6% growth that we've seen in past years. So I think that's going to be important.  And then Europe, I think Europe is going through, particularly in Germany, something of a deindustrialization right now. And I think Europe needs to find incentive courses to -- do they want to continue this insanity that they're going through or do they want to really have policies and priorities that are going to encourage manufacturing and where they're going to be going in that area. But Europe for us in building materials, insulation, lightweighting, automotive and so forth, those are -- some of those are doing fairly well right now. We're seeing a gradual recovery in automobiles and so forth, insulation, but we need to see more coming out of Europe.  So again, I think all of those indicators are going in the right direction right now gradually some faster than others. We just need to see it sustainably keep moving in that area.
David Begleiter : No very helpful. And just how should we think about the ramp in earnings from Q1 to Q2 for the total company?
Peter Huntsman : I'm sorry, the ramp of earnings in Q1, Q2 for the entire company?
David Begleiter : Yeah, the ramp from Q1 to Q2 EBITDA for the company.
Peter Huntsman : Again, I think that, that will be a factor of what we see in continued growth and pricing discipline largely across the board. But we would assume that as we continue to see an improvement in demand and improvement in pricing, that we'll see an improvement in earnings as well.
Phil Lister : Yeah. We’re not going to guide to Q2 right now. Dave, we’ve got the Q1 guidance, but we would expect a seasonal improvement as you move into the higher construction time period.
Operator: Our next question comes from the line of Alex Yefremov with KeyBanc Capital Markets. Please proceed with your question.
Alex Yefremov : Thank you. Good morning, everyone. Just to piggyback on the last question, in your polyurethane segment, you're expecting better margins in the first quarter. Should we think about that level of MDI margins in Q1 as sort of the baseline for '24 or could those margins dip again in Q2 because we now see benzene rising, for example, maybe you won't have enough pricing. But do you feel comfortable that at the very least, that Q1 level of MDI margins would not slip lower?
Peter Huntsman : Well, I'd like to say that we have that much control in pricing for the entire year and that we have that good of forecasting. But as we look at -- and I'm focused right now as to how Q1 is ending and how Q2 is going to be starting. And as I look right now at some of the broader indicators, Europe were out with a price increase effective March 1 of €250. These are public announcements of €250 a ton Chinese -- on the post New Year's, which ended just this past week, we've seen a pretty strong demand, both in volume and in pricing that's been publicly reported of around $150 a ton. In the U.S. will be pushing for $400 a ton price improvement in HBS now in our Huntsman Building Solutions. We also have some formula pricing in the U.S., and we'll be pushing for other price increases as well that are not public. So across the board. Now A lot of that's going to be setting the last couple of days. We've seen benzene continue to be quite volatile. And we've got to make sure that our prices stay above the wave of raw material price movements. But by and large, we're finishing first quarter in a much stronger position than we started first quarter on a pricing basis. And I would say that, again, some of that improvement, that optimism, I talked about in my prepared remarks at the very beginning, literally, we've seen that really starting to come just in the last couple of days. We see some of the actions that have taken place in China and so forth.  So again, some good optimism going into the second quarter. I feel like it feels we've got the wind in our sales. But again, we've -- unfortunately, we've --
Alex Yefremov : On Europe specifically.
Peter Huntsman : Yeah. Pardon?
Alex Yefremov : In Europe, specifically, do you see any benefit from lower imports of material from Asia in either polyurethanes or Performance Products?
Peter Huntsman : I think we'd always be happy to see fewer imports and more just as a rule of thumb. So yeah, I think that would be the case, yeah.
Phil Lister : Yeah. I mean we've seen a little bit of a slowdown, Alexi. If you look at where we are today in February versus quarter 4 in terms of imports from Asia just because of the Red Sea, you'll get as good as is as to how temporary that actually is.
Operator: Our next question comes from the line of Arun Viswanathan with RBC Capital Markets. Please proceed with your question.
Unidentified Analyst: Hi. This is Adam on for Arun. Looking into second and third quarter, looking at polyurethanes and wondering other than some of the items you've just outlined, what might you think are some of the upside drivers beyond seasonality for that segment? Thank you.
Peter Huntsman : I believe it's going to just be a continued growth in demand, stability in raw material prices and discipline and finished product pricing. It's just getting back to the basic fundamentals. A little bit of restocking would also help. I think that inventories are very low. And throughout polyurethanes as well, we'll be completing our cost savings program throughout 2024. So we'll see some of the benefits that have fall to the bottom line.
Unidentified Analyst: Great. Thanks for that. And looking at ag and aiming destocking, when do you think some of the negative impacts from that might start to subside?
Peter Huntsman : I'm sorry, the destocking around what?
Unidentified Analyst: Ag chemicals and gaming specifically?
Peter Huntsman : Yeah. I think we’re - we feel that most of the destocking - at least what we’re seeing in our men’s products we’re not that exposed to agricultural products and chemicals. So I don’t want to comment on anything on the Ag side more just out of - we’re just not exposed that much there. So I really don’t track that. But with most of our amines, as we look again, as we look at the volume improvements that we’re seeing quarter-on-quarter I think that we’ve seen the vast majority of the destocking that’s taking place there has come to an end.
Operator: Our next question is from the line of Kevin McCarthy with Vertical Research Partners. Please proceed with your question.
Kevin McCarthy : Thank you. Good morning. Peter, I wanted to come to the five goals that you outlined at the top of the conversation. And I was particularly intrigued by your fourth point of assessing the portfolio, making sure you're the best owner for all of your assets, et cetera. Obviously, we've seen some significant divestitures over the last five years or so. Do you have in your mind potential to part with any businesses that are bigger than a bread box? Or -- are you referring to maybe potential for more surgical changes in the portfolio? Maybe any updated thoughts on where you'd like to drive the portfolio from here would be helpful.
Peter Huntsman : Yeah. I think that we need to just continue to look at the entire portfolio. I think that we'd be a real disservice to our shareholders if we said that we want to stay exactly what we are today forever. And as we look at those areas of the business that are particularly impacted by higher energy costs in Europe, I think that we need to step back and we need to ask ourselves, how do we structure those businesses for the next five or 10 years or next 20 years, where we're going to be in a competitive position. The markets have changed quite a bit in the last couple of years when it comes to pricing dynamics when it comes to geopolitical shifts and energy policies and so forth. And I think we've got to continuously ask ourselves -- are we best positioned to own these assets? Are they in the right places? Do we have the right supply agreements or even partnerships and see where we go from there. But again, I would -- I think it -- I think the wrong move, we came in 1 morning and said everything is perfect. And there's no need to look -- if we could trade some of our assets.  And obviously, I'm not going to get into which of those assets may be. But if you could trade some of those assets for less volatile, higher-margin assets, I know that's a lot easier said than done. But I think we probably have approved some of that over the last couple of years as we've divested of our textile effects in TiO2 and some of the more commoditized intermediate chemicals and so forth, oxides and glycols and so forth. We bought assets that have been put into our advanced materials, our downstream urethane spray foam businesses. We look at those sort of changes. I'd like to see that going forward.
Kevin McCarthy : That’s really helpful. And then second, Peter, if I may, I wanted to ask about your view on China. I think you made a comment that you're more optimistic today than you were at year-end. Year-end was not too terribly long ago. So I'm just kind of curious, is it to do with a little bit of MDI uplift that you referenced earlier? Or are you seeing other signs in China that are more encouraging to you, more green shoots. Maybe you could elaborate a little bit on the regional outlook there.
Peter Huntsman : Yeah. I'm not sure that my view necessarily have changed all that much. I always get a little bit leery when you go into Chinese New Year because it seems like you come out of it and you're either off to the races or it seems like things shift -- the New Year's ends and things just remain target.  That's kind of what we've seen over the last two years or so, China is struggling through COVID and then a rather lethargic recovery in the last year. I see them coming out of this new year, just in the last week. And again, I don't want to base a whole year on a week of demand and pricing and so forth. But I think what we're seeing in market conditions in real time, Kevin, is we're seeing a better rebound, if you will, after the Chinese New Year than we've seen over the last two or three years. And this is kind of the China that we were used to a couple of years ago. So again, I'm not saying these guys have changed drastically, but I do think that the pickup that we're seeing in our particular business on EVs. And as we look at some of the demand that is picking up in China, in particular, it feels like it's real and it continues to see a gradual steady improvement.
Phil Lister : And Kevin, for context, about 15% to 20% of our sales are into China and less than 10% into property, which has obviously been the big headline coming out of China and how far that’s fallen.
Operator: Our next question comes from the line of Vincent Andrews with Morgan Stanley. Please proceed with your question.
Turner Hinrichs : Hi, this is Turner Hinrichs on for Vincent. I'm wondering if you can walk us through price cost and other considerations underlying your guide and that margins will move higher in the first quarter within Performance Products specifically?
Peter Huntsman : Yeah. I think that as we look at Performance Products, we continue to see a gradual recovery in the construction markets, that's going to be an improvement from anhydride and the unsaturated polyester resin chain as you kind of move downstream into North America. We'll see a volume will be higher in our men's products as well. And that goes into everything from spray foam and we're seeing prices are stable to improving in this business.  So yeah, I think, again, Performance Products are going to see a gradual improvement. And I hope that, that builds momentum throughout the year.
Turner Hinrichs : Great. Thanks for the color. So you've mentioned that you anticipate stronger pricing in the first quarter in polyurethanes. Could you walk us through what you're seeing in each region as it relates to polyurethanes pricing and what you're expecting for underlying supply and demand?
Peter Huntsman : Well, again, some of the broader things that we're seeing in China, I would just say that we're seeing around $150 a ton improvement. China, unlike Europe and the U.S. will set a price out. China moves really almost on a daily basis, on your base and more commoditized polyurethanes, your downstream urethane blends and more differentiated urethanes are usually going to follow that macro movement in pricing. But as we see pricing today in China, we see that up around $150 a ton improvement over what we've seen in the past couple of weeks.  And as we go to Europe, again, we're out with a $250 a ton improvement in Europe. And again, when I say that, that's not to say that you take all of our volume and put $250 a ton of that. Some of that will be effective March 1. Some of it will be a little bit later than that. Some of it, depending on contracts and so forth and in place, maybe more, maybe less than that $250 directionally, that's where we see pricing going in the European market. And that's obviously is very much needed, particularly in the European market. In the U.S. market, again, we're seeing a number of areas with the splitter that we have in place, we see kind of more of a fragmented base in Europe. We sell a lot internally down through the Huntsman Building Solutions. We have a bunch of our product that's on pricing formulations and so forth. We were able to pass through raw material volatility and increases. And we have some that are just on stand-alone contracts with prices that we negotiated on a quarterly or monthly basis.  But we are pushing for a broad price increase on the North American market as well in MDI.
Phil Lister : And to your question on utilization, we still expect it to be in the low 80s in the first quarter. We’re not up to the seasonal highs of construction in the second quarter. And as we said earlier, the polyurethane industry really needs to get into that 85%-plus utilization before you see a real inflection point when it comes to supply demand.
Operator: Our next questions come from the line of Mike Harrison with Seaport Research Partners. Please proceed with your question.
Mike Harrison : Hi, good morning. You noted that you were maybe seeing some additional opportunities to improve the cost base. And I was just curious, are those additional actions that could be taking place above and beyond the $60 million worth of incremental savings that are part of the restructuring program that's been in place for several quarters? Or were you just saying that there's still some actions that you need to take in order to achieve those incremental savings?
Phil Lister : Yeah, Mike, it's Phil. I think we've guided to approximately $60 million year-on-year. That includes some of the actions that we'll be taking during the course of this year. We are looking at manufacturing efficiency. And honestly, outside of just the cost base, we're looking at working capital as well. I think we're cognizant that in any recovery, working capital, there should typically be an outflow when it comes to cash. And I think there's some more work for us to be done, particularly around inventory days where we can offset some of that.  We'll also continue to finish up our European restructuring project as well as a small amount to do there as well. And quite frankly, we're still going to make sure that we're offsetting about $50 million to $60 million of inflation every single year.
Mike Harrison : All right. And then the other question I had is on the MIRALON product line in this pilot plant that's coming online in the next few quarters. Can you talk about the level of interest that you're getting from potential customers? And I guess what needs to happen from a commercial or offtake standpoint before you decide to move forward with construction on that larger scale facility.  And then the second piece of that is I apologize if you've already said this, but what could the cost of that 5,000 ton MIRALON facility look like?
Peter Huntsman : Well, the 30-ton facility, which would be the largest facility of its type is producing the carbon nanotube product. This will be the largest facility in the world. We believe we have a very competitive cost basis. And the key to this is the lower you can get the cost, the more applications you can get into. We're presently working right now with everything from concrete to car tires, EV batteries and in structural products. Right now, we're able to sell as much as we're able to make of the product, but the product right now to cover the cost of going to very high-end applications into satellites and NASA applications and so forth.  As you come up with larger scale capacities, we're going to be able to widen the product availability, the value and the number of applications that go into. The next phase of that expansion will be taking place next year. We believe that we'll be starting up the 30-ton reactor. We'll be starting it before sometime in the middle part of this year. And we feel that we should have sufficient data from that to initiate the larger expansion, which will be in 2025. At that point, I think that we're -- that next expansion really is what I would consider to be a commercial size reactor that if you want to go larger than that, you're just putting in multiple reactors of that size. So really coming, I think, to the end of the next year or two of being able to see the product being able to qualify the material and then being able to mass produce the material at economics that should make this a very -- hopefully, a very successful add-on to the rest of the business.
Phil Lister : In terms of cost, Mike, think about all of that investment that Peter described, the 30 ton the 5-kiloton in the tens of millions, maybe $30 million to $40 million. It’s all contained within the capital program that we’ve outlined and contained within the $200 million that we’ve guided for this year’s capital program.
Operator: Our next question is from the line of Frank Mitsch with Fermium Research. Please proceed with your question.
Frank Mitsch : Thanks so much. And good morning. Peter, I want to come back to the comment on Performance Products where you indicated that you anticipate a gradual improvement. As I look at that sector, the decline over the past several quarters has been -- wasn't gradual. It was fairly significant. And in fact, the volume declines were pretty horrific between the period of third quarter '22. And third quarter '23, we got back to relatively breakeven here in the fourth quarter.  So the question is, obviously, a lot of that has to be destocked. If we're back to a period of underlying demand, why would we not see these double-digit declines on volumes flipped to being double-digit increases on volumes and so forth. Can you help me understand gradual versus something more significant in terms of recovery?
Peter Huntsman : Yeah. I think that as we look at the amount of restocking that is taking place, I believe that when we go back and we look at where the markets were a little over a year ago, we were having a very difficult time fulfilling customer orders. And I think customers, when we started to work through the bottlenecks, customers have very high inventories of our product in their supply chains. And I think that was really across the board, we had trouble getting blowing agents and for our building solutions, our spray foam. We had trouble producing enough in means.  When you saw that the boom ringing effect of the economy post-COVID. I think that there was -- the supply chains built up too much inventory and there was a concern that there wasn't going to be enough production that wasn't going to be the logistics were not in place and pricing was going to go through the roof. And a lot of our customers almost across the board whether it was an oriented strand board or particle boards or insulation materials, amines, whatever. I think they built unnecessarily large amounts of inventory.  Now when the markets turned, I think that it turned certainly more suddenly and took longer to de-inventory than all of us anticipated or maybe some of us didn't anticipated the sort of a drawdown. I don't think so. I mean, I would look across the entire chemical industry. We all hit about the same magnitude at the same time. Maybe off a quarter here and there.  Now does the market bounce back at the same magnitude that it came down, I don't believe that it does because I don't think most people today are worried about where they're going to be getting product next quarter, they're seeing prices gradually improving. They're seeing there's plenty of capacity out there. Demand isn't going through the roof. And so I think that the recovery of the restocking is going to be gradual, it's going to be throughout the year. And it's not going to take place as fast. I wish it would to some degree.  But then again, if it did, Frank, as you know, there'll be a tremendous amount of volatility. If we saw the restocking take place as fast as the destocking prices margins would go back up and probably collapse just as much. So I hope that there's a little more reason that reasoning that goes into this restocking. I think it's going to be gradual, and it's going to be throughout the year.
Frank Mitsch : Understood, understood. You did highlight, obviously, the high cost of benzene, but we've certainly gotten a nice respite on natural gas, not only here in the States, but also in Europe. What's the impact on Huntsman? What can we expect to see with respect to that flowing through the P&L?
Peter Huntsman : Well, I think that you'll see the impact of that throughout the second quarter, a little bit at the end of the first quarter. As you see, again, it's not necessarily natural gas, but it's the hydrogen it's the CEO that is made from natural gas to hydrogen. And obviously, it's a raw material for our utilities and our boilers and so forth. And that will -- some of that will be in real time -- some of it will be in pricing and the impact that will be in the next quarter. So again, it's great to see these low prices. I wish we saw the same sort of drop in the European markets. Europe is still about five times higher in its cost today, but it’s natural gas and obviously, China is more based on coal than it is natural gas. That’s usually pretty stable and pretty low.
Operator: Our next questions come from the line of Matthew Blair with Tudor, Pickering, Holt. Please proceed with your question.
Matthew Blair : Thank you. Good morning. Peter, one of your five goals was to improve free cash flow generation. And in the prepared remarks, list out a few different levers here, things like reduced incentive comp but higher turnaround spend. I think your free cash flow conversion in 2023 was only in like the low single digits. Do you have a target for 2024 that you could share on free cash flow conversion?
Peter Huntsman : Yeah. I would just say that when we talk about the improvement in our free cash flow, I'll let Phil quite interest to make a comment here. But when we talk about the incentive pay, I didn't say that we would be cutting incentive paid to help cash flow. I said that our incentive pay would be tied to the generation of cash flow. So I hope that came out clearly. This is the highest portion of our incentive pay for senior managers this year is going to be on achieving our cash flow targets and objectives.
Phil Lister : Yeah. So free cash flow is clearly going to be better in 2024 than 2023. Therefore, consequently, the conversion ratio is certainly going to be better year-on-year. And I think we highlighted some items to consider CapEx will be $30 million lower, restructuring cash will be $30 million lower between pension and incentive comp that we pay out in '24, the '23 performance combined will be about $35 million lower overall. We still do have outstanding the Praxair lawsuit that we won quite a while back against Linde.  And so look, we're just going to be very disciplined when it comes to cash flow. Hitting the cycle average 40% free cash flow conversion ratio that we've targeted. That's going to be difficult in '24 as we continue to recover overall. But quite frankly, again, we're going to be clearly better than we were in 2023.
Peter Huntsman : Yeah. And I would just say, when we look at on a normalized basis, that 40% free cash flow conversion rate, I would still say that's where this company ought to be doing a normalized economic period. I don't see that number haven't changed.
Matthew Blair : Sounds good. And then regarding the U.S. construction market, at least from paper Housing starts were pretty good in the fourth quarter of 2023, up 6% after some big declines earlier in the year. Did you see that come through in your Q4 results? And Paul, urethane, so just pretty soft due to weakness in other regions? Or should we be thinking about a lag, if housing starts improve in 1 quarter, maybe it takes like one or two quarters for that to flow through to Huntsman?
Peter Huntsman : Yeah. Let's remember that the time from permitting to purchasing, to building inventory the impact of that entire supply chain is not an instantaneous issue. And companies today are looking at where they're going to be in second quarter and in some cases, third quarter, they're looking at what the demand is going to be and projected to be. We'll see things like mortgage rates will have an impact on how much inventory and pre-buying OSB and installation customers will be doing.  So there are a lot of variables. But again, as we look at it, if we step back and we look at it from a macro point of view, from what we're hearing from our customers, the early indications that we're seeing our indication internally as Tony said, it's time to restart our line in Geismar and gradually start bringing that into the market. And we believe that’s going to be needed to satisfy demand. So that should tell you as much of our view going forward.
Operator: Next question is from the line of Hassan Ahmed with Alembic Global. Please proceed with your question.
Hassan Ahmed : Good morning, Peter. In the sort of prepared remarks that you guys posted overnight for the polyurethane segment, you guys talked about I believe it was like a 6% volume gain in Europe, and you talked about some market share gains out there as well. Can you talk about the dynamic that's transpiring over there with regards to this?
Peter Huntsman : Yeah. I would just remind you that we had our facility down earlier in the year, so we talked about where we were a year ago and where we were even a quarter ago. It's pretty easy comps to beat. So I'd like to think that Europe is expanding GDP 6% per quarter. It's going to continue like that. But again, there's -- I think there's some fundamental issues around Europe on the broader economic perspective when you look at energy and industrial policy. But as we look at our customer base in Europe, we don't see it getting any worse. We see, if anything, there's perhaps a building tendency for restocking. And as we look at our facility there, it's running well. And we're continuing to see stability and gradual improvement there.  And hopefully, effective March 1 here, we'll be successful in price increases.
Hassan Ahmed : Understood. Understood. And just sticking to the Polyurethane segment. I mean, obviously, EBITDA margins in Q4 were around 1.5% call it near breakeven. And you guys are relatively sort of low cost, downstream integrated and the like. Could you talk a bit about the global cost curves I mean, I'd like to think that a large chunk of the industry is loss-making right now. I mean how sustainable is that really, should we be seeing sort of curtailments now and pricing increases in theory that would ensue thereon after?
Peter Huntsman : Well, it's -- I mean just going around the world, the lowest-cost producers globally right now are in China. And you've got low energy costs in China with the amount of coal that's being consumed and the coal-based economy largely. And that's going to be where you've got the largest newest facilities, and so you're going to have the lowest cost coming out of China.  Second on that cost curve is going to be the U.S. I believe our positioning in the U.S. is that -- I'm not going to sit here and say that we are the lowest cost producer in North America, but I would be surprised if anybody is lower than us. I don't know the exact economics of our competition. But I think between our reliability and the size of our facility and so forth, we would be among the lowest cost producers in North America. And I would say that when I look at the profitability in North America, while it's improving, these are not long-term sustainable margins. We need to see better market conditions, pricing and demand.  And then when I go to Europe, Europe is one cold winter or one sold pipeline or on import terminal problem away from an energy spike as we saw in the summer before Putin's invasion as we saw in the winter of Putin's invasions, we've seen since then where energy prices can spike up 5, 10 times in a very short period of time. So Europe needs to figure out what their energy policy is going to be and it have an economy of that size based on the means of propulsion that Columbus used 700 years ago is insane. And they've got to figure out what they're going to do from an energy point of view and from an industrial point of view. And whether they can do to compete. When you look at the margins over the last two years, in particular, I think that I publicly have said it if I haven't, then I should, we haven't made we haven't made strong cash flow out of Europe in almost two years. That's unacceptable, and it's unsustainable.  So if we're in that position, even if our competition, I believe, again, in Europe, we may not be the lowest, but I bet we're very close to the lowest cost producer. There's no way that an MDI company is operating a European market economics today and says we're making a strong return on capital, and we're proud of what we're doing today. Europe, just -- so yeah, Hassan, I’m happy to where the direction that the markets are going, demand is picking up, pricing is picking up. I don’t mean to get on tire here, but we’ve got a long way to go, and there’s a lot of work that needs to be done. I think we’re heading in the right direction. But I still - Europe probably ask me more worried than the U.S. and Asia.
Operator: Our next question comes from the line of Salvador Tiano with Bank of America. Please proceed with your question.
Salvator Tiano : Thank you very much. I just want to come back to the U.S. MDI market first. So firstly, it seems like you have some pretty steep price increase you mentioned correctly. If I heard correctly, around $400 a ton in the U.S., but some trade publications even last night are still differentiating between U.S. and European and Asia conditions saying the demand and supply are much, much looser here. So what are you seeing that's making you quite more optimistic than, I guess, trade consultants here? And also on the Geismar startup in Q2, can you discuss a little bit what would be the cost associated with that? And what is the minimum operating rate that you need to run in order to be profitable on an EBIT or an EBITDA level?
Peter Huntsman : Yeah. When we talk about the $400 a ton, I will just remind you that's what we're shooting for in our HPS business. So we take our own MDI internally, we transfer it to HBS, we price at market and then we sell that to customers. And we're seeing -- we've been public. And I only want to talk about price increases that we have that are public. As we think about what the trade is saying versus what we're saying, well, the difference -- you asked what the difference is between those one sells paper and one sells product. And we sell product. And so I can only comment on what we're seeing, what our customers are seeing, the feedback we get from our customers and reality on pricing.  Trade publications, I think, are a good snapshot on the macro basis. But I wouldn't say right now that MDI in the U.S. is long and sloppy in pricing. I'd say it's that were the case, we wouldn't be shooting for the price increases in pushing for the price increases that we are. And I apologize, I forgot the latter part of your question.
Phil Lister : I think it's just confirming I think just -- sorry, go ahead.
Salvator Tiano : So just it was the second even to Geismar, if there will be any costs in Q2 associated with the start-up. And if -- and what's the minimum operating rate that needs to be -- that you need to be profitable on an EBITDA or EBITDA basis.
Phil Lister : We will just -- as we said, we'll just bring that on slowly, make sure that we operate appropriately above 50% levels. So I mean you know these plants below those levels, then they tend to blue up. So to operate them efficiently, we'll bring those on, but we'll bring it on slowly. And we'll make sure that we're profitable and what we put into the market.
Salvator Tiano : Great. Thanks very much. 
Operator: Our next question is from the line of Patrick Cunningham with Citi.
Eric Zhang : This is Eric Zhang on for Patrick. You've done a lot with polyurethanes on the cost optimization front. What do you think EBITDA margins can get to this year with maybe a modest volume recovery and store work prices? Thank you.
Peter Huntsman : I'd be reticent to throw out a margin number because I know whatever I say, I'm either going to be too high or too low. But I do think that we'll be moving throughout the year, hopefully, again, unless we see a massive amount of restocking that happens very suddenly, which I'm not anticipating, but I think that we're going to see a gradual improvement throughout the year.  And I hope that we finished the year much closer to our normalized levels of EBITDA than when we started the year. I know that's a superfluous answer, but I think at this point, again, we've got the results of January and just simply too early in the year to make a year prediction.
Phil Lister : And as we said, cycle average margins, if you go back over the last 10 years, this is a mid-teens plus margin business.
Eric Zhang : Got it. Thank you.
Peter Huntsman : Thank you. Operator, I think we'll take one more question. We're nearing the top of the hour and assuming anybody else is with us.
Operator: Yes, we have a question from line of Laurence Alexander with Jefferies.
Laurence Alexander : Good morning.
Peter Huntsman : Good morning, Laurence. 
Laurence Alexander : Good morning. Just want to revisit the portfolio optimization comments, what the scale of your business a limiting factor in what you do? Or is the focus really just on return on capital volatility kind of what is what value is reflected in your share price versus the fundamental value. Can you just help clarify how much scale constraints what you do?
Phil Lister : Yeah. So I mean you're talking about the facts, Laurence, that we've sold down our TiO2 business, our spindle top business, so the intermediates business. Textile business, and we've got a $6 billion company today. Again, I think we would rather that we were adding on bolt-on acquisitions to grow the business and grow the business both organically and inorganically over time. And those inorganic investments would come around particularly around advanced materials. And as Peter said earlier, you may look at some small parts around the edge as well in terms of whether we're the best owner or not. But to the point, we come in and we look every day. Are we the best owner? Can we generate an effective return from the portfolio in the long run? And you are correct, we're absolutely looking at the return on invested capital versus our cost of capital.
Peter Huntsman : Yeah. I would just say, Laurence, and I hope I don't get ahead of myself in saying this that we do run the risk. If we were to look at selling a big chunk of the business today without the acquisition of something else, we run the risk of getting too small here. And I think that's not something that we want to entertain either. But that shouldn't preclude us from doing something big if we can replace it with something big and continue to shift and change the portfolio. I think again, I publicly have said if you go back and look at the history of Huntsman, every five years, at least, there's been a major addition, a major divestiture, something that is has fundamentally changed that I believe has made us a stronger company, whether it's a sale going back 15 years ago of our base chemicals businesses 10 years ago of our TiO2 and some of our the basic pieces and so forth and more recently in the last five years of our intermediates and textile effects. And I think that at the same time, being able to buy the right assets to replace those or if we can't find the right assets, we're going to return cash as we did this last year with the sale of the textile fax business. We're going to return cash to shareholders.
Laurence Alexander : Thank you.
Operator: Thank you. At this time, we've reached the end of question-and-answer session. This will also conclude today's teleconference. You may now disconnect your lines at this time. Have a wonderful day.